José Manuel: Good morning, ladies and gentlemen, and welcome to Acciona's Financial Results Presentation for Fiscal Year 2024. 2024 has been a transformational year for our group. We achieved a record EBITDA of €2.5 billion, with more than half generated by our infrastructure segment and Nordex. Our infrastructure backlog now stands at an all-time high of €54 billion, driven by several landmark concession awards that will redefine our company in the years to come. ACCIONA Energía set new records by adding 2 gigawatts of capacity in the year, building on the 1.7 gigawatts achieved in 2023 and marking the peak of our recent growth cycle. Our energy asset rotation activity has also delivered strong results with 1.3 billion completed to date at very attractive valuations. As we look ahead, we have several promising opportunities and we will remain flexible evaluating options, options based on pricing, strategic fit and partner quality. Despite facing challenging market, the challenging market in Spain during the first half of the year, ACCIONA Energía delivered comfortably on our revised guidance while protecting our balance sheet, maintaining our credit rating and avoiding CapEx overruns or write offs. This resilience has transformed initial challenges into a successful outcome for the year as we see it. As for Nordex, it has shown a remarkable recovery over the recent years. And in 2024, we witnessed the consolidation of this turnaround marked by a rebound on profit margins, record order intake, a robust cash position and over 20% growth in its order book. Given the recent debate on renewables, renewables versus fossils, let's say let me very briefly share my perspective on the renewable energy market. Regardless of climate skepticism or ideological opposition, we are living in an era of rising global electricity demand and renewables remain the most competitive, the most secure and most rapidly deployable source of power, even in countries with abundant fossil resources. Renewables are the cleanest, cheapest, most secure autochthonous source of energy, local. And today we have managed to disprove the notion that grid stability and security of supply could only accommodate a small percentage of renewables. That was the thinking for many years. In fact, in the Iberian Peninsula, I think it's likely to be the world's first example of an energy island serving more than 60 million heavy consumers, where renewables consistently supply 60% of the electricity demand at one of Europe's most affordable prices in generation. Of course, this new generation paradigm has brought new challenges such as curtailments and historically low prices, particularly during the beginning of last year. We believe, however, that regardless of the minor regulatory adjustments that may be required for a very heavy intensive – heavy renewables, intensive electricity grid, new demand will soon restore balance as seen both in Spain and in comparable U.S. markets. My assessment is not only my own, my own empirical economic conclusion, it is proven by the fact that globally in 2024 for the 23rd consecutive year, a record renewable capacity additions of 500 gigawatts were built and only in the U.S. 90% of the new capacity was renewable. And for those who consider nuclear as a viable alternative in the short run, I would just suggest that we look at Hinkley Point in the UK, Flamanville in France, Olkiluoto in Finland, or Vogtle in Georgia, which all illustrate the challenges with huge budget overruns, extended delays and production costs, which produce LCOEs of four to six times those of wind or solar. Simply put, renewables are the most competitive, secure and rapidly deployable source of electricity for both developing and developed economies. But for Spain and other early adopters this is particularly true if we were to take full advantage of the wind repowering opportunity, the lowest hanging fruit in the decarbonization of our power matrix, enhancement of our energy security and reduction of our electricity costs. By replacing aging turbines with fewer, larger, more modern units installed in optimal sites with reduced environmental footprint, minimal grid investment and low social opposition, we can potentially double or even triple install capacity in record time. In this regard, we welcome the launch of the Clean Industrial Deal which paves the way for a stronger, greener and more innovative Europe supporting net zero European industry, an opportunity for which Acciona and Nordex are undoubtedly well positioned to play a key role. In summary, while our outlook for renewables confirms that clean energy remains the most competitive and secure solution for the future, 2024 has been a transformational year for Acciona with good financial performance, record backlog and infrastructure, record new capacity additions in energy, good asset rotation and consolidation of Nordex turnaround. With that now I would like to hand over to the presentations of Rafael Mateo, CEO of ACCIONA Energía; and José Entrecanales, Chief Financial and Sustainability Officer, who will guide you through our Energía results. Following this presentation, we will conduct the Q&A on the energy side before moving on to Acciona Group results presentations and Q&A. Thanks very much.
Rafael Mateo: Thank you and good morning. As José Manuel commented in his introduction, 2024 has been a very good year for the company from the strategic perspective. In my view, we have delivered what we promised a year ago in terms of capacity growth, controlled CapEx, debt, asset protection and credit rating protection. Indeed, one of our key targets for the year was to construct 1.7 gigawatts of new capacity and we ended adding 2 gigawatts of new capacity, including the 300 megawatts of operational wind capacity that we acquired opportunistically in Texas given the excellent fit with our existing operations and know how. 2 gigawatts of gross capacity additions is really a true landmark for the company and marks the peak of the post IPO growth acceleration phase. Very importantly we completed the construction of our largest ever wind farm in the portfolio MacIntyre in Queensland, Australia with 923 megawatts of installed capacity. We started the commission in process at the end of the last year and it will take us most of 2025 to connect MacIntyre in full. The asset rotation strategy we announced a year ago is off to a great start and we have achieved the targets that we set ourselves for the year with €1.3 billion of proceeds achieved, having completed the disposal of hydro assets to Endesa two days ago and the sale to Elawan in November last year. In terms of gains from asset rotation, we are also delivering our targets as we have generated €650 million distributed between 2024-2025. The implicit valuation of the hydro asset disposal of €1.6 million per megawatt is far above that was its implicit in our surprise. From a financial point of view, the first half of the year wasn't easy, particularly in the Spanish market and we had to revise down our EBITDA expectation. But finally we have closed above our target of €1 billion EBITDA from operations not too far from our initial €1.1 billion EBITDA outlook. Rotation gains amounted €227 million, a portion of it at the EBITDA level and a part of it below. It's important to mention here that project CapEx cost didn't give us any bad surprises in 2024 and we were extremely close to the original budget. Additional, we don’t have any impairments other than the €32 million residual book value of the Tiberia wind farm that we are dismantling for repowering in Spain. In terms of the balance sheet, I am very happy with the outcome of our efforts to contain increases in-depth in the context of the 2023-2024 peak in investment. We moderate the CapEx for the period of 2024-2025 by around €500 million relative to our initial business plan in order to reduce the pressure from the balance sheet. And additionally, some investment were pushed back from 2024 to 2025, providing a smoother profile for CapEx. Also in 2024, it was key for us to formalize the agreement with our partners in Australia, Korea Zinc, with respect to the investment in the 30% of the wind farm MacIntyre. We monetize the CapEx spent on their behalf until July 2024, which amounted €350 million. And we also monetize U.S. tax incentives in the U.S. market of €260 million, which also contributed to reducing our net cash outflow from investment last year. Given the high point in investment and leverage, maintaining our investment grade rating is another key task for us. Fitch conducted two reviews during the year in June and December and maintaining our BBB- rating within a stable outlook in both. Fitch recognized in December the progress on our asset rotation activities and our commitment to protect the rating. Also, the DBRS conducted one review, giving us a BBB middle with stable outlook, reflecting the peak in leverage, but still maintaining a solid investment rating. In the next slide, we have included other important strategic developments during 2024 that are included among others. The start of the energization of the wind farm Forty Mile in Canada; the commissioning of our large solar project in the U.S.; a very good progress in our Dominican Republic projects; the return to India with the construction of a PV asset in Juna, Rajasthan; a new PPA for a solar asset in Croatia or the start of construction of our first wind farm in The Philippines markets. In the next slide, Slide 7, we put in context the 2 gigawatts of new capacity added to this year that was a remarkable acceleration of growth post IPO in 2023 and 2024. In 2025, we are planning to add a more modest amount of capacity around 1 gigawatt, still higher than our historical run rates. The new capacity will be spread across traditional markets and more recent regions. We are investing mainly in storage, batteries, onshore wind, solar PV and also including some repowering and biomass. We will build the Adelite and Coneflower battery storage plants in Texas. We will complete the large Aldoga and Juna solar PV projects in Australia and India, as well as wind farm, Forty Mile in Canada. In Spain, we will complete the repowering of Tiberia wind farm and the commissioning of the 50 megawatts Logrosán biomass plant. We’ve also built the Kalayaan 2 wind farm in the Philippines or the Pedro Corto PV plant in Dominican Republic. Our project pipeline to fuel the future growth stand at 34 gigawatts, very well diversified across technologies and geographies. But we will focus our activity on the most profitable projects without being tied to a specific capacity addition targets, always subject to investment grade ratings and always controlling the health of our asset rotation activity. The sector has lived with the problems that came along with the post-pandemic recovery: supply chain disruptions, permitting delays, cost overruns and rocketing interest rates. Some of these problems are still affecting companies across the renewable landscape, but the sector is today more mature, more competitive and despite of saturation in some markets, there is still plenty of capacity to be profitable. Unlike publicly traded markets, private markets see this growth opportunity today and are seeing the opportunity to invest in renewable and operating assets alike. This is providing the necessary capital for companies like us to continue growing. The sector is now aiming at more modest upgrades, but this growth is more targeted and more selective. In our case, in the case of ACCIONA Energía, one of our most obvious strength with respect to the future growth opportunities come from our existing footprint. In the Slide 8, we summarize our strong presence in the key markets across the world. In terms of installed capacity at year end, output, near term capacity additions and pipeline. Europe, North America, LatAm, Australia, plus some growth markets such as South America, India or Southwest Asia, make it a unique platform from which to continue building ACCIONA Energía continued success. On the Slide 9, we have put together some statistics about the potential growth in the regions where we currently operate and how we adapt our strategy to the different levels of maturity of the markets for the state of the grid or the demand growth or the dynamics of replacing fossil fuels. So in North America, we see opportunities given that the competitiveness and fast deployment of green energy against the backdrop of potential of new demand from data centers or the decommissioning of the very old and dirty coal plants. In LatAm, the electricity demand will grow on the back of energy intensive sectors like mining as well as economic growth. We will be targeting selected investment in the market subject to the transmission, grid availability, political developments and power price dynamics. The Australian market is one with land, renewable resources and the commissioning coal that still today represents 45% of the generation. And in this market, in Australia, we have a very strong wind and battery storage greenfield pipeline. And in Europe, in particular in markets like Spain, we see already higher energy penetration and enough adequate transmission grids, but also strong commitments with net zero policies. Europe is also pushing to increase the energy security and the independence. Here we also see selective growth in onshore wind, solar projects, as well as biomass, hybrid, repowering some opportunities given our vast operational asset base. Finally, we have the high growth markets like South Africa, India or Southwest Asia, where we have two operations. On the Slide 10, I want to spend a couple of minutes on the U.S. market to put the things in context. It’s true that the politics have changed in a radical way. The new Trump administration has been taking fast action through presidential executive orders, and there is today a new rhetoric against renewals. Investors seems to be penalizing operator with exposure to the U.S. renewable energy market, while being more bullish about generation companies, with data centers, demand angle or integrated players. In our case, in the case of ACCIONA Energia, I just want to stress a few simple messages. Firstly, our U.S. market presence is significant but also balanced, representing something around 15%, 20% of our business in terms of output, pipeline or expected capacity additions in the next three years. Our exposure to The U.S. energy policy volatility is very limited. We don’t have a lot of under construction at the moment, having just completed a very large and concentrated solar PV construction program adding in the past year 1.3 gigawatts. We are starting today the construction of two battery storage facility, 400 megawatts per hour [ph] and planning to build another two medium sized solar PV, but in 2026, or 2027. We are not constructing or planning any onshore wind farms in the next couple of years, and we don’t have any kind of offshore wind projects in risk. Moreover, we have protected our pipeline and the projects under construction in The U.S. market to 2028 by safe harboring our right to claim the tax credits and by building room enough to maneuver into our storage project in Ercot, Texas with respect to any potential increases in tariffs. Finally, we believe that the U.S. market will remain as one of our key destination for renewal energy investment in the world, given the size of the market and given the strong fundamentals, whatever the short term disruption that policy dynamics may introduce today. We have seen that in the past, the market may take some time to overcome the disruptions, but we are very confident it will settle and adjust to new conditions even if it takes one or two years. Here again, we think that renewables growth is a fact of life also in the U.S. market. Moving to our priorities, in 2025 in Slide 11, I’d like to say that although every year is important, 2025 culminates a period of two years of transformation, assimilating the massive investment effort we made in the last couple of years, adapting the company to the new operational environment, higher work, higher CapEx cost, lower stock valuation and kick starting our asset rotation strategy. 2025 is a year that we break the back of the high CapEx cycle with a strong debt reduction, also reduction in work-in-progress and stabilization at credit ratios that are sustainable, consistent with our investment grade. 2024 was about constructing close to 2 gigawatts of capacity and 2025 is about connecting and starting to harvest EBITDA from the 2 gigawatts we built in 2024. 2025 is a year of intense asset rotation activity to help bring our leverage ratios down. The large transportation plans during 2024 and 2025 are also contributing to refocus our geographic exposure, reducing the weight of Spain and increasing our concentration in the strategic markets. Our ambition is that by the end of 2025 ACCIONA Energía will be a renewed company. We will be a company with lower leverage, with investment grade ratings, more stable credit metrics and reduce exposure to Spanish prices after the asset disposal. Our core single markets for long-term growth will be Australia, the U.S. but complemented by opportunities in Europe in LatAm, in the high growth markets that we refer before. We will remain mostly onshore wind company but with presence in solar and very selective investment in other technologies like battery storage or biomass. We will maintain around 70% of our revenues long-term contracted in line with our risk preference, remaining a highly cash flow generative company with a minimum maintenance CapEx requirement. Our fleet is still relatively young and we continue to retain life extension as part of our strategy, complemented with some repowering. We target mid single-digit medium term growth EBITDA from operations consistent with the net capacity additions that José will refer in a minute. Dividends will continue to play an important role, adapted to the leverage and always compatible with growth. Thank you for your attention and let me hand over to José Entrecanales, Chief Financial and Sustainability Officer.
José Entrecanales: Thank you, Rafa, and good morning, everyone. Let me start by going deeper into our deleveraging and asset rotation plans for 2025 and share with you our thoughts on what our balance sheet capacity may imply for growth in 2026 and beyond. On Slide 13, you can see the evolution of CapEx and work in progress that is assets under construction or without any significant contribution, as well as our expectations for the current year. Work in progress has accumulated as we ramped up our CapEx peaking in 2023 at €2.9 billion, representing close to 70% of our gross debt at that time. At peak, MacIntyre alone accounted for just over €1 billion of cumulative investment. In 2024, CapEx started to moderate and so did work in progress as we connected significant assets in the U.S. and in Peru. In 2025, we expect similar levels of CapEx as in 2024 at around €1.5 billion, but work in progress at year-end 2025 should be less than half, falling below €1 billion. MacIntyre will be at full or near full operation as well as other important assets such as Forty Mile, Juna in India, Logrosán, Cotoperi and Ayora. All-in-all, around 2 gigawatts of capacity to be connected this year as Rafael mentioned. The EBITDA embedded in the work in progress as at the end of 2024 is approximately €175 million. In terms of CapEx for 2026, committed CapEx today represents around €0.5 billion. This will grow obviously as FID – as we FID additional projects during the year, although we retain the ability to modulate this CapEx should we need to in order to meet our leverage targets. On the right hand side of the slide, we have provided an approximation to cash flow for this two year period 2024 and 2025. We expect the business to generate on aggregate around €1.2 billion and invest around €3 billion during the period €1.5 million in each of the two years. In terms of remuneration to shareholders, dividends distributed in the period plus the tail of our buyback program completed in early 2024 add up to around €0.4 billion. Our target is to reduce debt to below 4.5 funds from operation net leverage, consistent with our investment grade rating. That means we need to reduce debt by approximately €0.5 billion compared to 2024 levels, and for that we need disposal proceeds toward the €3 billion mark on aggregate for 2024 and 2025, of which €1.3 billion have already been achieved. To reach this target, we have a significant pipeline of potential disposal transactions ongoing that provide us with sufficient headroom and flexibility to allow us to do so while maximizing value. This deal pipeline includes transactions in different stages of progress amounting to around 4 gigawatts of capacity and almost three times the proceeds we are targeting. As we have been saying all along, we only intend to transact on a portion of this pipeline and we'll be selecting those transactions with the best fit. Going into specifics, we're looking to sell one or more portfolios of a decent size of wind assets in Spain, potentially complemented with the rest of the hydro assets we own. In LatAm, we're considering sales of specific generation assets in markets like Mexico, Peru, Costa Rica, and we're exploring the potential sale of our entire platform in Chile with 1 gigawatt of installed capacity. In the U.S., we're working to monetize a significant part of our recently commissioned 1.3 gigawatts of solar PV assets. And I would also like to mention the potential sale of our interest in two operating South African assets in order to recycle capital for new investments in the country that we expect to undertake in the near future. All-in-all, we continue to see strong investor appetite for renewable assets across our main regions, particularly for those that are differentiated in terms of quality and maintenance track record. We therefore remain confident in our ability to deliver on our targets on the targets we have set for 2025. Moving to Slide 15, I would like to provide you with an indication of what our balance sheet may be able to absorb in terms of growth on a run rate basis. These indications are by no means growth targets, but rather plausible scenarios of investment combined with asset rotation in the context of current CapEx cost, interest rate capture generation prices and the limitations of our investment grade rating. Our main constraint is not lack of profitable investment opportunities, but rather our balance sheet capacity. We continue to see gross capacity additions of 1.25 gigawatts to 1.5 gigawatts per annum as a reasonable scenario. This magnitude of investment would need to be combined with healthy levels of asset rotation in the order of 600 megawatts to 800 megawatts per annum, which would allow us to maintain a strong balance sheet while reinvesting our free cash flow and paying a dividend. As a result, net debt would grow only marginally in the next few years. This would set our medium term balance sheet capacity at around 700 megawatts net new megawatts per annum in the current market context. While our aim is not to deviate too much from stable credit ratios, our actual growth path may not follow this exact trajectory. If we see good opportunities to grow faster, and assuming we can also increase the pace of asset rotations accordingly, we may choose to do so. We believe that this level of flexibility is desirable in the current market environment. Before moving into a brief review of our full year 2024 financials, I would like to provide our outlook for 2025. Starting with EBITDA from operations, we're expecting around €1 billion. This would imply flattish EBITDA from operations on a like-for-like basis before the effect of the hydro assets that we have sold in 2024. We expect lower EBITDA in Spain due to the roll off of hedges at high prices booked in 2023 that we enjoyed in 2024, but on the positive side, some improvement in underlying output following a poor year last year and significant contribution from new assets which could be in the €100 million to €150 million range in terms of delta year-on-year. The impact from the exit of the hydro assets could be around €70 million and we could see an additional impact on EBITDA from operations from disposals as we progress with our asset rotation program during the year depending on timing and structure of those transactions. In terms of EBITDA from asset rotation, we have secured around €425 million from the hydro deal completed a couple of days ago and we would aim to increase that towards the €750 million mark. On the slide, we provide indications on volumes and captured prices underlying this EBITDA outlook. With respect to investment and debt as discussed, we expect to add around 1 gigawatt of new capacity and net investment of €1.5 billion. Asset rotation we aim at €1.5 billion to €1.7 billion over and above the two hydro disposals already closed, resulting in net debt at year-end in the vicinity of €3.5 billion. Over the medium term, we target mid single-digit growth in EBITDA from operations. Let me now move to the slide summarizing full year 2024 results which in the interest of time, I will try to cover quite swiftly. On Slide 18, you can find the key financial and operating figures. Revenues fell by 14% to just over €3 billion primarily due to lower prices – power prices, generation revenues, the main driver of EBITDA from operations correspond to €1.6 billion, down 12% as a result of the average captured price declining by 20% to €68.7 per megawatt hour, while consolidated production increased by 11% to 23.8 terawatt hours. The supply activity and other energy businesses of the group reported €1.4 billion of revenues relative to €1.7 billion in 2023. Total EBITDA fell by 13% to €1,123 million with EBITDA from operations at €1.05 billion and EBITDA from asset rotation at €73 million. Net profit amounted to €357 million, down 32% and the P&L in 2024 includes a €154 million reversal of impairments which are part of the positive results delivered by the two hydro asset rotation deals as well as an impairment of €32 million related to the Tahivilla wind farm which is being dismantled for repowering. In 2023, the P&L also included a €132 million one-off of capital gains arising from the acquisition of Renomar and the Moura PV plant in Portugal. Net investment cash flow amounted to €1.2 billion, net of proceeds from asset rotation and that is approximately half of the investment we committed or we did in 2023. Net debt stood at €4.1 billion and if the Endesa transaction had closed at year end rather than two days ago, net debt would have come in closer to the €3.5 billion mark. Moving to Slide 19, here you can find details around our ESG performance. On the environmental side, 100% of CapEx is aligned with EU taxonomy. Our Scope 1 and 2 emissions grew, all of our emissions remain well below our SBTi targets and our emission intensity remains low. We reduced Scope 2 emissions by 73% as we now consume 99% of our electricity needs from renewable sources. Additionally, we recycled 98% of the waste we generate through different circularity initiatives such as innovation projects to reuse wind blade materials. On the social front, while we reduced our accident frequency index, we are sad to have to report three fatalities among our subcontractors’ employees. We are launching a health and safety action plan to further reinforce the safety culture across all of our operations and our subcontractors’ operations. And finally, on the governance area, I would like to highlight the auditing of 100% of our strategic suppliers that has 131 audits conducted in total. Going straight to Slide 21 where we show the cash flow and evolution of net debt. In summary, operating cash flow amounted to around €800 million. Working capital was negative at almost €130 million due to the Spanish regulatory banding mechanism, higher volumes in the SME supply business and receivables from new assets in operations. As discussed, net investment cash flow amounted to €1.2 billion with around €300 million of proceeds from disposals and €1.5 billion of net CapEx. Other noteworthy financing cash flows – cash flow items include the dividend distribution attributable to 2023 results as well as the tail end of our share buyback program, which combined to an amount of approximately €215 million of shareholder remuneration during the year. Other items include around €400 million of perimeter changes linked to the debt related to assets classified as held for sale, primarily the hydro assets we sold to Endesa a couple days ago. On Slide 22, we see the drivers of Spanish generation revenues with consolidated output increasing by 10% to 11.1 terawatt hours, thanks to very good hydro output and the contribution from new assets. It is worth noting that 80% of production was contracted or regulated. The average captured price stood at €76.9 per megawatt hour, declining by around 29.5% as a result of normalizing pool prices and the roll off of hedges which tend to lag the market by around one year. These hedges contributed positively to improving our captured price by around €10 per megawatt hour in 2024, but this pickup was more than double the year before. All in all, generation revenues in Spain fell by 23% to €855 million. On Slide 23, EBITDA from operations fell to €443 million due to the lower generation revenues as power prices normalized. The increase in output contributed positively, but not enough to offset a decline in the average captured price. EBITDA from asset rotation arising from the 175 megawatt hydro perimeter sold to Elawan in November amounted to €61 million, bringing total EBITDA in Spain to €504 million. On 24, consolidated output in the international fleet grew by 12% to 12.7 terawatt hours. New assets contributed 2 terawatt hours of incremental output. But we had poor production many of our locations, particularly in Mexico with like-for-like production declining by 6% relatively to a 2023 that was not particularly good either. The average price was €61.6 per megawatt hour relative to €66.1 per megawatt hour the previous year. Average prices declined in the U.S. with lower achieved prices in wind as well as the effect of early merchant generation from solar PV capacity, during the summer of 2023, which provided a meaningful uplift during that year. In Chile, the average captured price increased significantly, thanks to the recognition of tariff deficit revenues from previous periods, the so called PEC tariff, generation revenues increased by 5% to €782 million. EBITDA in the international business increased by 13% to €619 million, including €12 million from the disposal of a development project in Chile and our stake in a Hungarian wind asset. With that, let me hand it back to our Chairman. Thank you.
A - José Manuel: Thank you, José. Thank you, Rafa. Now we’re going to go on to the Q&A session, which, as we usually do, we are taking questions and putting them on groups, as many of them are repetitive or over the same topic. The first question we have is about to be expected about minorities buyout equity swaps. And how are we going to proceed in the future given the very low trading levels of ACCIONA Energía? This is a question that comes from a number of attendants from Flora at Caixa, from Enrico at Mediobanca, Fernando Garcia at RBC, Óscar at Santander. It’s undoubtedly the price is disappointing and we believe we are under a gross undervaluation. As a matter of fact, this year, as Rafa, José, and I was mentioning has been a consolidation, strategically consolidating year. We have – we believe we have a solid future. We believe the industry, I mean this is quite obvious has gone through a very anxious cycle and as in any cycle, we expect to see better times. I guess, there has to be some cleanup in the industry and there has to be some rationalization of strategies and there has to be some stability coming back soon. In any event, we will, in this current environment, we will keep, we will remain to keep most of our options open. And the floating of ACCIONA Energía was a very cumbersome, very complex and required enormous effort. Going back from that is not something that we will take lightly. However, in the meantime, there is an obvious alternative, which is I would say almost an obligation, while we’re doing 1, 1.5 gigawatts of new capacity a year at whatever an average price of 1 billion per megawatt, million per megawatt. The truth is that we can buy our own megawatts at 0.7 in the market by buying our own stock. So it’s quite an opportunity that we will most likely continue taking advantage of. Having said that, there are as I say, a number of options which are and of course, the merger, the tender offer for our stock. The – of course, remaining as we are. But at this stage, I see no significant reasons to change the present status in the short run. Anything else to that? Very good. Let’s go on to second question, which is business outlook for ACCIONA Energía in the U.S. market level of risk on the incentive side and on the procurement side from Flora at CaixaBank, Enrico at Mediobanca, and Fernando Garcia at RBC. Well, Rafa and José have made extensive comments on it, but if you want to add anything?
Rafael Mateo: Maybe to say the same as I said before the – our exposure to the U.S. market today is representing yes, a modest 15%, 20% of our total activity. That’s true that the rhetoric is not good at this moment, but the demand is growing in the U.S. market because the use of activity plus the data centers that are increasing the consumption and there is no other option today, cheaper, faster and that renewal. So we are just constructing two new batteries in Texas and we secure the tax credits by hovering, by safe hovering 5%, buying some previous components. And also we negotiate with the suppliers in order to protect the potential risk of additional tariffs. So we are not seeing any special risk at this moment in the market for us.
José Manuel: There is – I think there’s also a natural hedge by the fact that if no new capacity is installed in the U.S. and the new capacity that could be installed in the U.S. at a – in the short-term can probably only be renewable because it’s what’s being prepared. In the medium-term, of course, other alternatives are available, but in the medium-term that’s probably the only possibility as I was saying, 90% of the new installations last year was renewables. If that doesn’t happen, well, then there’s going to be an energy shortage and that of course will affect prices. So there is a natural hedge there. As for question number three from Alexandre Roncier from BofA, you ask, why as our balance sheet strengthens, would it not make sense for us to focus to our efforts as strongest – in our strongest geographies and exit or not deploy capital in geographies such as India, Southeast Asia or some European countries? Well, to be totally honest, as our balance sheet strengthens, I would – it would be very arguable in my view that what you could do is actually what we’re doing. So deploy efforts in markets such as the ones you’ve mentioned. In fact, all those markets, which you’ve mentioned, India, Southeast Asia, maybe not so much Southeast Asia, European countries or South Africa are countries where we’ve been or regions where we’ve been present for many years. So we know those regions very well. We have had significant success in most of them. And in our current strategy of being selective, we’ve always been selective in our investments, but continuing to be maybe even – being able to be a little more selective nowadays, because we are aiming for less megawatts in the coming years to be built, so 1 to 1.5 from 2 or 1.7 last year. It allows us to be a little more selective. And when we say selective, we include every aspect of an investment. We include, of course, regulatory stability. We include expected returns of obviously, we include returns on the domestic, on the current – on whatever that domestic environment returns expectation should be. So the local WACC will be the main – the basis on which to judge the return. We include the potential of the market, of course, but I think Acciona’s one of our greatest strengths is precisely the – being able to select our investments among a wider range of opportunities. One sees some of our peers’ experiences in market concentration, and it’s not nice. At least we have that flexibility that – and that risk dispersion or risk mitigation. Anything you’d like to add?
Rafael Matteo: Maybe just to add that we are also balancing our portfolio, reducing our activity in some markets that are today very mature, extremely mature or even almost saturated and focusing part of our activity in these new markets that José Manuel mentioned, India, South Africa, Southeast Asia with high demand, with still very low penetration of renewals, far away from the curtailments of the cannibalization of prices and far away of – to became in saturated markets. So a very good opportunity for us with good returns.
José Manuel: Yes, I did forget to underscore that comment that Rafael just made. It is essential that we are able to develop our strategy in those countries where not saturated, which by the way, saturation is also a temporary thing, because when in countries where there’s big curtailments, as I was saying in my introduction, as we have – we are seeing in probably in Spain and we’re seeing in some U.S. markets demand. There is significant elasticity, price elasticity for demand. So demand quickly follows low prices. So there’s a balancing eventually, maybe it’s not immediate, but it takes a few years, a couple of years. But eventually, demand picks up when there is oversupply. As for question number four, asset rotation strategy from Flora and Enrico, CaixaBank and Mediobanca. Should we expect relevant asset rotation deals in first half? The €1.5 billion to €1.7 billion proceeds for asset rotations in 2025, how many megawatts? What could be the dilutive impact on operational EBITDA at fiscal year level from the disposal of those assets? José, why don’t you take that one?
José Ángel Tejero: In terms of timing and announcements, it’s obviously – we’re limited or constrained in what we can share. We do expect to be able to be in a position to make some announcements in the first half, but we expect the majority of those proceeds and those transactions to be generally back ended in the year. Therefore, depending on timing and also depending on the structure of the transactions that we end up closing, it could have some impact on EBITDA for the year. If in terms of multiple and what that impact could be, you can work out rule of thumb EBITDA per million euro invested generally following industry standards. But if you want a specific reference, if you look at our work in progress debt of €2.2 billion and we’ve mentioned that that is around €175 million in EBITDA associated to those assets. That also gives you a good reference of how much EBITDA could be associated to those disposals. But I insist it will depend on timing how much of an impact that will have and also on deal structure. So unfortunately, we’re limited in how much detail we can provide for obvious reasons.
José Manuel: Thanks. As for from Enrico at Mediobanca, fifth question, which are the main markets where you see medium term potential to add 1.2 to 1.5 gigawatts per annum of new capacity in the coming years? Well, let me go over our footprint and opportunities. Definitely, the Australian market is a strong market where we have strong pipeline. The U.S., we have already for 2025 – definitely, we already have our projects being built underway, and they will – some of them will come into – will be in the market to be operational this year. Then, of course, we have the Canadian market, Latin America, we have Peru, Dominican, Mexico, hopefully, is coming back. Europe has some attractive opportunities. We’re starting to have some attractive opportunities, particularly countries like Croatia, Spain and Portugal, of course, Poland and India. It’s a huge market, huge opportunities in the medium-term, in the short and the medium-term. South Africa, we will have hopefully good opportunities this year, and in Southeast Asia, particularly in The Philippines. So we do have, as I say – as I was saying, a wide range of opportunities in countries where we are comfortable and where we see significant potential in coming years and where the penetration of renewable is still small. Anything else?
Rafael Mateo: And just to comment that in all these markets, we have teams and we have a pipeline.
José Manuel: Why does the company need to continue rotating assets from 2026 onwards from Oscar at Santander? Well, it’s kind – the model is rather simple, Oscar, in this particular topic. And I think we could sit with you directly, Raimundo, to just go over it and see that in order to maintain our ratings and healthy balance sheet and at the same time continue taking advantage of the new investment opportunities that the market continues to offer around the world, which – some of which I’ve mentioned. In order to do those two things, we need to rotate assets, which is perfectly fine as we will continue to add net megawatts to our 13.6 existing consolidated portfolio. So it gives us, as I say, the opportunity to continue taking advantage of good investment alternatives while maintaining a healthy balance sheet and a safe investment grade rating. The good thing about this is that it is adjustable. If we see that the as – by the way, I believe will be happening soon. We see that the markets start demanding more capacity or our markets, those where we are focused, start demanding more capacity and new opportunities arise even more attractive than the ones we see today. And I think that’s going to happen because many of our peers are kind of pulling down in their investment efforts. For example, all the many of the oil companies are kind of redirecting their investments into conventional. We will see more opportunities or less competition in the coming years, I would hope, and therefore, better opportunities and most and very likely more. That – if we want to take advantage of that, as I was saying, the adjustment could come over the rotation. So we would increase the rotation slightly in order to maintain the balance sheet. So it’s an income and investment – the income side, the investment side, which maintains the balance sheet stake. And about the nature of the disposals being opportunistic, well, that goes without saying. By definition, I don’t know if we mean – if we interpret the same by opportunistic. We have a lot more assets in the market that we need to sell, and we are sounding potential interested parties around the world. And we, of course, will only execute those transactions which are at a good price. So in that sense, I would say – I could say that we are being opportunistic. Next question is from Manuel Palomo from Exane BNP. Could you please update on the asset rotation processes and the review and give some reference about prices. How do they compare with current EV megawatt trading valuation? Jose, why didn't you do that? But let me first warn you that we can't be very specific and give you comfort on the EV per megawatt trading. How do they compare with the current EV megawatt trading valuation? Well, as I was saying, significant discount. Not even with the EV megawatt trading valuation, even with the EV CapEx for new megawatts valuation or cost. So Jose, go ahead please, if you can.
José Entrecanales: As we said during the presentation, we're working on around four potential transactions amounted to around €4.5 billion in total proceeds, which is around 3x our target for the year. That is 4-gigawatts of capacity. We don't intend to transact on all those, but it gives you an idea of the flexibility we have tried to build into our asset rotation plans. In terms of the specifics of the transactions, what we – I would point you to the bottom half of Slide 14 on our presentation, which really gives as much detail as we're comfortable giving at this stage in terms of the specifics of what we're working on. What we can say is that we are seeing, generally speaking, strong investor appetite for these assets, and we remain confident in being able to achieve those objectives.
José Manuel: Okay. Next question comes from Paul Chabran in Kempen, and it's about why – explain why or the gap – explain the gap between capital gains initially announced in hydro sales €620 million versus what you expect to book in 2025 €500 million. Jose, why don't you go ahead with this one too?
José Entrecanales: Yes, sure. What we provided in – the number we provided in November was an estimate that included the reversal of past impairments. In 2024 we recorded a €78 million reversal of impairment. And in 2025 we will record €425 million capital gains, so in total, around €500 million of total capital gain for that transaction. The difference between that number and the initial estimate is driven mainly by – is driven by a couple things. Closing price adjustments due to things or elements, items such as tax, cash previously extracted from the business during the interim period, and of course, EBITDA generated by these assets during the time up to closing. This EBITDA, which is we have mentioned hydro output has been – hydro performance or the performance of hydro assets during 2024 has been exceptional, increases the book value and decreases the capital gain. So the difference between that €500 million number and the one we provided in November is due to those moving parts which are difficult to estimate up until the time when you effectively close the transaction.
José Manuel: Thank you. José Ruiz from Barclays asks, what do we expect in terms of prices – the prices – electricity prices or energy prices outlook in Spain in general? We have – we expect Spain to remain at the €70 to €75 a megawatt hour for 2025, dropping to €60 – between €55 and €60 in the following years. We expect gas to remain at €40 and dropping to €30 later on €40 being 2025. Although as you no doubt, aware the situation is very volatile with unprecedented geopolitical risks or variables, let's say. I think that would be a general – the general inputs in our model at this stage. You want to add something? Okay. Next question, Enrico Bartoli from Mediobanca asks which are the drivers for the reduction in average captured price from the international business in 2025? And which markets achieved prices are expected to decline most in 2025 from 2024? Do you want to take care of that one?
José Entrecanales: Sure. In 2024 we had captured prices which came down despite the increases in Chile. In Mexico in 2023 had positive resettlements of capacity which did not happen in 2024, so that will affect negatively. In the U.S. we had lower merchant prices for wind and solar PV assets had early generation during 2023, which was also a variation to 2024. And in Europe particularly the Moura PV plant in Portugal exited the regulated tariff and therefore captured price in Portugal was significantly lower. In terms of 2025, Chile was obviously exceptional in 2024 due to the PEC revenues which were recognized. So this we would expect or captured price in Chile we would expect to come down materially in 2025 and in Mexico we expect slightly lower prices as well as in Portugal and Italy.
José Manuel: Very good. Thank you, Jose, Rafa and thank you the ACCIONA Energía audience. So we're going to go on to the Acciona Group presentation. But of course there are a number of questions that we couldn't answer. So please do refer to our Investor Relations executives teams for further clarification of any doubts or any anything else you want to ask. So thanks very much. Okay. Reiterating my conclusions in my introduction half an hour ago, as I was saying, 2024 was a good year as we met our targets in asset rotation and significantly exceeded our initial projections in EBITDA as a group. Also, we exceeded capacity additions, our infrastructure backlog and Nordex results. Indeed, Nordex has effectively completed its restructuring with an EBITDA of €296 million and a 4.1% margin, slightly exceeding the upper guidance, their own upper guidance range. This performance was driven by higher average selling prices, increased activity levels and growth in service revenues. Nordex’s contribution to Acciona’s EBITDA was of €470 million because it included a reversal of a number of provisions that we had in our balance sheet. So after navigating very turbulent waters, Nordex has overcome challenges to establish itself among the top two global wind turbine manufacturers outside China and as the leading OEM in EMEA for the third consecutive year. With global order intake of 8.3 gigawatts in 2024 and service orders totaling €5 billion. This secures performance – this future performance – this secures future performance and lays the groundwork for continued profitable growth. I'm confident we will soon achieve our midterm EBITDA target of 8%. In infrastructure, 2024 was also a very positive year. EBITDA increased by 38% reaching €762 million with margins rising to 9.4% up from 7.1% in 2023, contributing nearly one-third of the total Group's EBITDA. This growth is primarily driven by strong performance in Australia, our leading infrastructure market, and in South America with excellent progress in the Line 6 metro project in Brazil and significantly improving mining and growing mining projects in Chile mainly. 2024 also marks a record in our backlog. We have reached €54 billion, an increase of €20 billion from the previous year due to new concession assets added in 2024. Additionally, we have been selected as the preferred bidder for significant contracts totaling €84 billion including long-term concessional revenue. These 2024 results clearly reflect growth across all divisions. Today, more than ever, we can affirm that Acciona is among the most comprehensive providers of sustainable infrastructure solutions globally. All indicators suggest that this trajectory will continue as our diversified yet focused footprint allows us to allocate investment to maximize value creation. The demand for infrastructure in developing nations is evident and the need for modern resilient infrastructure is in developed countries is an increasing concern. Additionally, there is an urgent need for new infrastructure related to urban development, energy transition and technological transformation. More and more of these infrastructure projects are executed under public, private partnerships arrangements, which allow for budgets that are under significant – public budgets that are under significant stress reach greater possibilities, greater potential with this type of PPP arrangement. So demand continues to grow while integrated expertise such as the one Acciona has integrated expertise in design, financing, construction and operation remains very scarce. In 2024, we made significant progress in our concession business, securing iconic assets that will transform the group’s profile in the coming years, representing invested and committed equity of €3 billion. Beyond the volume or careful project selection ensures these awards are well balanced in terms of contractual models, geographies and project types resulting in low risk and diversified portfolio. These iconic projects include the SR400 Express Lane in Atlanta, which is the largest managed lane tender in the U. S. And the largest PPP project in The U. S. history with a total investment of €10.5 billion. Line 6 project in Sao Paulo Metro, which is an urban transformation project, which will, among any other things, reduce the commuting time for users from 90 minutes to two hours to just 20 minutes and expects to have around 700,000 passengers daily at least. And it’s 15 minutes – it’s 15 kilometer span. It’s a concession that goes over to 2,044 [ph] and 55% is or 60% actually is already completed to date. Highway I-10 in Louisiana with a total of €3.2 billion investment. The peripheral road in Lima, Peru, which is a 35 kilometer project with a concession ranging depending on the revenues between 30 years and 60 years. All transmission line projects like Central West Orana, which is a 250 kilometer transmission line in Australia or eight smaller projects in Peru totaling 1,100 kilometers and an €800 million investment in total. As for water, I would like to point out the Casablanca desalination plant, which is the largest in Africa with an annual capacity of 300 million cubic meters, and it is powered entirely by renewables, very competitive cost of water coming out of that desalination plant. The Saadiyat plant in Abu Dhabi with a €370 million investment. Los Cabos desalination plant in Mexico, which is a 25-year operation endeavor and our project with Sanepar, the Paraná, Brazil water utility to build, operate and maintain sanitation systems in 48 cities with which will more very likely continue to grow into more areas of Brazil. To finish, just to point out, as you all know, major global megatrends are reshaping the economic landscape and driving new opportunities across our portfolio. We hold a strategic position as one of the few well qualified providers at a time when infrastructure investment presents an annual €4 trillion to €6 trillion opportunity as societies worldwide seek to close the infrastructure financing gap in roads, energy, rail or water, which make up over 80% of this infrastructure opportunity. Looking ahead, we anticipate double digit growth in EBITDA both for 2025 and for the medium term, as a group this is. Investment cash flow of €3 billion in 2025, stabilizing at around €2.5 billion to €3 billion in the coming years. Net debt to EBITDA ratio to remain below 3.5 times, that is excluding capital gains from asset rotation. Asset rotation and CapEx adjustment to provide investment grade, as I was explaining before, and to maintain stable single digit dividend growth over the foreseeable future. So with that outlook, let me hand on to José Ángel Tejero. Thank you very much, CFO of the Group.
José Ángel Tejero: Thank you, Francois. Good morning, everyone. I will make a review of Acciona financial results for 2021. Starting with the key financial highlights. Revenues grew by 13% to more than €19 billion and EBITDA increased by 24% to €2,455 million with EBITDA from operations at €2,382 million and EBITDA from asset rotation at €73 million. Most of it coming from the sale of 175 hydro megawatts in Spain. This transaction was completed in 2024 and implied cash proceeds of almost €300 million and total gains of approximately €150 million part of them included at the EBITDA level and part of them below corresponding to reverse of impairments. The second asset sale deal agreed in 2024 corresponding to the 626 megawatt of hydro sold to Endesa was completed this week. The growth of in the EBITDA from operation was driven by the high profitability achieved in infrastructure, the turnaround completed at Nordex and the higher power prices achieved in the second half of the year compared to the extraordinary situation of extremely low prices we had in the spring. By businesses, as we will see in more detail in the next slides, Energy contributed with €1,123 million of EBITDA, 30% fall versus 2023 due to lower average prices. Infrastructure generated €762 million EBITDA, a 38.4% increase compared to the previous year, driven mainly by constructions and concessions, and Nordex contributed with €470 million. Profit before tax reached €765 million including €227 million gains from the two hydro assets rotation deals, in line with the target we had at the beginning of the year. Out of this year, €73 million are included at the EBITDA level and €154 million below corresponding to the reversals of impairments. Attributable net profits reached €422 million, which implies a stronger performance in the second half of the year than in the first half, still in the context of lower energy prices. In terms of the balance sheet, net investment cash flow was €2.4 billion in 2024, which includes €2.8 billion of net ordinary CapEx and €314 million proceeds from asset rotation. And the net debt to EBITDA ratio fell to 2.9 times lower than 2023 and below our guidance of around 3.5 times. Should the second hydro transaction have been closed at the year-end rather than two years ago, the net debt to EBITDA ratio would have been 2.2 times. In the next slide, you can find our ESG key metrics of the year, which include the full-year consolidation of Nordex versus only nine months in 2023. First, I would like to emphasize our strong alignment with the European taxonomy of sustainable activities, with the proportion of taxonomy aligned CapEx over eligible CapEx increasing to 99.6%, exceeding our target of maintaining this ratio above 90%. This is a significant achievement, particularly considering the substantial progress made in our infrastructure and construction businesses in aligning their activities with the EU taxonomy. Regarding greenhouse gas emission, we recorded a 5.6% decline, keeping us on track to meet our decarbonization targets. This figure improves to 6.5% when excluding Nordex, whose emission decreased 1.9%. The group overall reductions were primarily driven by the increased use of renewable energy and fuels to meet our SBTi targets. We have experienced a steady 14% increase in total headcount, primarily due to the full consolidation of Nordex and expansion of construction activities in Chile and Brazil. And on the sustainable financing front, we continue to make progress in integrating sustainably-linked structures into new issuances. As of today, 81% of company’s gross corporate debt is classified as green or sustainability-linked debt, further strengthening our commitment to sustainable finance. In the next slide, we provide details on the investment made during the year, which totaled a net amount of €2,401 million. Energy invested €1,538 million in the deployment of new capacity. Infrastructure invested €898 million. The main concepts are the acquisition of construction machinery for tunneling projects, such as Line 6 in São Paulo or the Western Harbor Tunnel in Sydney. The investment made in waste-to-energy plant in Australia, Kwinana, and the equity investments in concessions. Nordex has invested €159 million and the property development business, now named Living has generated €65 million of cash in 2024 versus cash consumption of €205 million last year as a result of the high number of units delivered, 1,119 units. Finally, divestments totaled €314 million, the most important being the sale of the 175 hydro megawatts in Spain to Elawan for a total amount of almost €300 million. On the next slide, you can see the main cash flow items that explain the evolution of the net debt during the year. Operating cash flow totaled – I mean, €2,173 million, including €2,455 million of EBITDA and another year of positive working capital for an amount of €457 million. By businesses, energy has generated a negative working capital of €120 million due to Spanish banding mechanism of regulated assets. And Nordex, minus €82 million due to the high level of installation, while the rest of the group has generated positive working capital of €668 million. Infrastructure has had a strong cash flow generation in the second half of the year, consistent with the usual seasonality of the business. These significant movements in working capital are normal given our high level of turnover and can vary year from year affected by specific milestones in contracts, awards and execution. We maintain a strict control over our working capital. In fact, if you look back over the past six years, the annual average has shown a positive evolution of €190 million. Moving forward, we expect this multiyear trend to stabilize at zero. Other noteworthy financial cash flow items include the dividend of 2023 paid in 2024 for €266 million and €204 million of perimeter changes and other which include, amongst other things, the three equity swaps of ACCIONA Energia shares and the reclassification and assets held for sale, mainly the hydro assets just sold to Endesa. We have finished this year with €7.1 billion of net debt, including €891 million from IFRS 16. It is important to highlight that almost €3 billion of the total net debt corresponds to debt associated to work in progress related to renewable energy and real estate assets that will have an EBITDA contribution once they are finished. Let’s now move to the details on the performance of the different businesses of the group. And given that ACCIONA Energia has just presented its results in full detail, I’m not going to go through the specific slides. But in the documentation, we have provided you with all the details. Moving to Infrastructure. Let me start with the backlog, which has been explained before and has reached a new record high. This year, given the increasing weighting of new concession in the Infrastructure division, we are now reporting the backlog in a different manner as follows. Thus, the global infrastructure portfolio increased by 17% to €28.5 billion compared to €24.5 billion last year. In addition, incorporating the equity accounted contracts, the aggregated infrastructure backlog rises to more than €53 billion, which is a 58% increase versus 2023. This sharp increase is due to the more than €10 billion D&C and O&M projects awarded and by the incorporation of two new concessional assets, the I-10 highway in Louisiana in the U.S. and the Peripheral Ring Road in Lima, Peru, which include the construction works and the concession revenues. In addition, we have been pre-awarded contracts pending to be signed for another €5.6 billion, the most important being the SR-400 Express Lane in Atlanta and the Central-West Orana Transmission Line in Australia. Both are contracts that will include construction and concession revenues, two relevant milestones of our growth strategy and are expected to be signed during the year. On the next slide, we have presented at the beginning of our presentation, our portfolio of concessions and how important is this area for the growth of the group. Let me now give you some more details about the investments that we are going to allocate into this business in the coming years. As you can see, with equity contributions already incurred of €669 million at December 2024, we have additional commitments up to €3 billion to be gradually disbursed over the next eight years, resulting in total equity invested of, as I said, up to almost €3 billion in 2032. These investments are well spread during the large number of years with no significant concentration in one particular year, resulting in a well-balanced portfolio in terms of geographical diversification, type of asset and solution. This portfolio with a weighted outstanding life of 53 years, once in operation, will generate around €58 billion in dividends and cash distributions for Acciona. And we are bidding for new concession projects, which obviously are not included in this portfolio. For example, we have recently been short listed for the I-285 managed lane in Atlanta. Therefore, the growth potential in this business for our group is huge. In the next slide, you can see the main figures of the division in terms of sales, EBITDA and backlog. Let me give you some more details of the different businesses. Construction reported €472 million EBITDA, a 27% increase versus the previous year on almost €6.7 billion revenues, implying a high profitability of 7.1% EBITDA margin. The margin increase has been driven by the successful execution of large capital-intensive projects such as the Collahuasi Desalination Plant in Chile, the Line 6 of São Paulo Metro in Brazil and the Sydney Western Harbor Tunnel in Australia. Key geographies remain unchanged. Australia accounts for almost 39% of revenues. Spain represents 17% of the total and Brazil, another 10%. The construction backlog as of December 2024 reached €17.7 billion, which implies more than 2.5 years of sales. And out of which €5 billion, which is 28% of the total are collaborative contracts and €4.5 billion, another €25 billion [ph] are works for our own concessions. The next slide, the concession business also performed a very well year in 2024 with outstanding growth in sales and EBITDA, mostly driven by good progress in the São Paulo Metro Line 6 in Brazil. We have already reached 61% of execution in this project, which is planned to open partially next year. As we have already explained, our portfolio is young and therefore, its contribution to the group financial results will increase gradually as the different projects start operations. Looking ahead, we have enormous growth of opportunities with an identified pipeline of 51 greenfield projects with around $112 billion associated investments, which are to be tender in the next years in our key geographies. This week, for example, as I said before, we have been shortlisted for the I-285 East Highway project in Georgia, another key infrastructure aimed at easing the traffic congestion in Atlanta by a pass. In the next slide, you have all the details of the performance of the water business. With revenues of $1,189 million and an stable EBITDA margin of almost 8%. Having finished last year large projects in Saudi. The water backlog has increased by 20% to $6,963 million with a 45% increase in the D&C backlog. After having remained largely flat over the last two years, driven by the award of relevant projects such as the Alkimos Seawater Desalination Plant in Australia for €447 million. The Ras Laffan Desalination Plant in Qatar, for €359 million and the renovation and upgrading works on the water distribution grid served by the Apulia aqueduct for a total of €256 million, consolidating our presence in the Italian market. This increase in backlog will result in the water business growing both in revenues and EBITDA in 2025. Moving into Nordex, its full year results were published yesterday and the company held a conference call explaining then. So I will go briefly over the main magnitudes. Nordex has delivered in all targets and guidance. Revenues increased by 12.5% to €7,299 million in line with company guidance between $7 billion and $7.7 billion for the year. And gross margin increased by 55.9% compared to 2023, reaching 21% of the revenues. EBITDA reached €296 million with an EBITDA margin of 4.1% to zero last year, thus meeting the top end of the 3% to 4% guidance range: driven by increased average selling price, higher activity levels and growth in service revenue. Its contribution to Acciona's EBITDA was €470 million which includes €174 million of reversal of provisions, most of which are related to update of Nordex quality program costs. Regarding operating data, order intake of turbines increased by 13.3% to 8,336 megawatts with a 6% increase in price, resulting in a total backlog as of December 31, 2024, including turbines and services of €12,778 million, which is a 21.3% year-on-year. The services backlog grew by 37% to almost €5 billion providing high visibility of future cash flows. In terms of outlook for 2025, Nordex foresees an EBITDA margin between 5% and 7%, which says between €7.4 billion and €7.9 billion and a CapEx of €200 million and a working capital ratio of less than 9%. And moving to other activities. Property development, now named Living, has obtained a very good results in 2024 with 124.7% increase in revenues, reaching €435 million and generating €43 million EBITDA versus €4 million last year. This growth is the result of the increase in the number of houses delivered totally eleven 1,119 units in 2024 compared to 750 in 2023 in line with the guidance provided at the beginning of the year. Amongst the most notable developments delivered in 2024, we have completed a Build-To-Rent project in Madrid comprising of 455 units. We plan to continue developing Build-To-Rent projects with four projects currently under construction. As of December 31, 2024, the gross asset value stood at €1,736 million and the backlog of precise at 674 units affected by the lower number of units under commercialization and both reflecting the acceleration in the monetization of our land bank. And lastly Bestinver increases revenues by 17.5% to €113 million while its EBITDA grew by 41.6% to €51 million driven by the growth in average assets under management and the better performance of Bestinver securities. Assets under management at the end of the year closed at €6.4 billion and average assets under management were €6.8 billion, both growing approximately 15% versus 2023 And with this, I finish my presentation, and thank you for your attention. And now let me hand the floor back to José Manuel for the Q&A session.
José Manuel: Thank you, José Ángel. Okay. So, let's start with the Q&A. First question from Fernando García on possible changes on the Nordics stake, on the Nordics strategy. No changes. We have, as José Ángel has explained, and it's publicly notorious, have experienced a turnaround in Nordics in the past few years for which I take the opportunity to congratulate management. And we are Nordics is serving a very valuable purpose in our development capacity in [indiscernible]. So we are keen to maintain that participation and particularly as we expect further improvements in their P&L and their backlog and their order intake and all the relevant KPIs in the company in coming years. Additionally, just let me mention that obviously, Nordics is possibly the only token for further consolidation of the industry in the West non-Chinese operator, non-Chinese OEMs probably Nordics is the only opportunity. So there is an upside there to should something happen in the future. As for our strategy in concessions, Oscar Najar and Fernando García asked what is our strategy with the €3 billion of concessions of equity committed to continue growing or whether to start monetizing? Well, our strategy is very clear. We are a greenfield to brownfield developer in infrastructures in general that includes even includes Energia. And in particular infrastructures in civil infrastructures, what we will do is develop these infrastructures, these concession opportunities into from greenfield to brownfield. And when these are seasoned and mature or start to be mature, that's probably when they've proven their capacity to perform the purpose for which they were built, we will probably rotate them as we are not the optimal holder of these type of assets because our cost of capital is higher than potential buyers. But indeed, we continue to invest. Indeed, we intend to increase our capital allocation into this business. We believe there are enormous, I was saying in my introduction there are enormous opportunities. There is infrastructure requirements around the world for many – from all sides of purposes, from all sides of the social demand, from the impact of climate change, from the urbanization, con urbanization of society, all these elements are contributing simultaneously at an increase in demand of these infrastructures. And there aren't many players, as you no doubt are aware, that can provide an integrated service as we are able to. We're also, as in very legally binding and stable countries mostly and the opportunities are very, very strong. As for well, sorry, there was a part of the question was when do we start monetizing? Well, it totally depends on the average span of the greenfield to brownfield process. In normal construction projects, concession construction projects is about seven years. So that would be the normal span, say seven years of execution plus a two to three years of operation to as I was saying before, make sure that the asset produces what it's meant to do, then probably rotate it. As for question number three, coming from Flora, Alexandre Roncier, BofA and José Ruiz from also José Ruiz from Barclays. They ask about the construction margin which is 7% and backlog starts to grow. As backlog starts to grow, is the embedded margin in our back backlog as well supporting as well supporting construction margins as the 7% level or would you expect normalization towards 6%, 6.5%. It's normalization is a. An assumption that I do not really share to be at the 6% and 6.5% I think normalization should be at the 7% or higher level. And that is a result of a number of factors. One is the stabilization of the type of contracts that we are tending to sign nowadays, which are in many cases 71% of our Australian construction backlog is collaborative contracts. So that is a trend, a global trend, and it's a, the trend is basically a more balanced contractual model. Balanced, meaning more balanced in the. More favorable for the construction company, for the development company, for the concessionary. And I think that is not only the result of a more balanced supply of equation, but also the reality that most of the market has suffered around the world has suffered intensively to get deals done when they came to get projects executed when they were done under unbalanced contracts. So, you may find the client may find that he may be able to contract, to sign in a contractor to do a project at a very cheap, very, very aggressive rise. But the fact is that experience ends up showing that at the end of the day that contract isn't successful in this, in its execution or in time or price. So I think that is a trend in the market, a very strong trend in the market for more balanced realistic contracts. Also, the fact that we have a strong part of our backlog of, in PPPs produces better margins simply because you do not have the, you do have some leeway in the mechanisms and the methods of construction. You have more flexibility as in many cases your partner, the owner, your client is either your own company partially, but in many cases partners, third parties who are very much interested in the successful execution in time, of course, in price also, but in time of the project. Also projects are more the projects, at least the projects we take, we're being able as a result of a better balanced supply demand equation at this, in the past few years and foreseeable future, we are able to select more technically complex projects, more machinery intensive, which give us normally a higher margin. So, I would say those are the reasons for which your normalization, “levels of 6% to 6.5%. I think we could see a normalization at 7% or above”. Anything you want to add?
José Entrecanales: No, just to finalize. I think that also when we see the projection of the construction business in terms of growth, we could see a compound rate of close to 5% a year for the coming year. So the normalization is not only for 2025, but also a good volume of delivery of works for the coming years.
José Manuel: Right. So question number four. Reasons for the decline in gross asset value in our real estate assets in 2024. Why don't you explain that?
José Entrecanales: Yes, the decline basically reflects the substantial number of properties that has been delivered during the year as well as an acceleration of the rotation of the capital invested in real estate. But doesn't, I mean, it's not the reflection of the underlying value of the assets that we are investing, it's just the reflection of the delivery of the units that we have done this year.
José Manuel: So, question number five from Ana Arjona at ODDO. So could you please shed some light on the moving part of the working capital performance, particularly at Acciona, ex-ACCIONA Energía. Additionally, what are your expectations for working capital for 2025?
José Entrecanales: I think I have provided in the presentation the breakdown of the working capital in 2024 by businesses, even by Energía Nordex and the rest of the group. But basically, the good performance of the rest of the group comes mainly from infrastructure. Basically, due to the last weighting of the construction business within the group. It is long marked to have large movements in our working capital. That depends both in the level of execution and the new awards during the year. All in all, what we might expect, highs and lows year on year. But therefore, our focus is on monitoring working capital very closely, but also looking on the longer trend on two to three years and in that period working capital movements should be neutral, close to zero.
José Manuel: On question number six from Pierre Alexandre Ramondenc, the Alphavalue, he asks regarding the 10% EBITDA margin achieved in property development, can we consider this a return to normal or are these specific factors to take into account? No, definitely. This is our aim and this is where we will expect to be in the future. And we have, as we have consistently informed the market over the past years, we are becoming extremely selective in our property strategy, in our property development strategy. Extremely selective and with a significant drive towards reducing our capital deployed, reducing our GAV not in terms of value, but in terms of quantity of assets, underlying assets. So yes, the margin we will, we would expect to stabilize at those levels. Anything else? Very good. Well, thank you very much. There are no more questions. So this is the end of the 2024 results presentation for ACCIONA Energía and for Acciona, thank you very much to all the attendees. Thank you. Bye.